Operator: Hello, everyone, and thank you for joining 111's conference call today. On the call today from the company are Dr. Gang Yu, Co-Founder and Executive Chairman; Mr. Junling Liu, Co-Founder, Chairman and CEO; Mr. Luke Chen, CFO of 111's major subsidiary; and Mr. Haihui Wang, COO. As a reminder, today's conference call is being broadcast live via webcast. The company's earnings press release was distributed earlier today, and together with the earnings presentation are available on the company's IR website. Before the conference call gets started, let me remind you that this call may contain forward-looking statements made under the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. Such statements are based upon management's current expectations and current market and operating conditions and relate to events that involve known and unknown risks, uncertainties and other factors, all of which would cause actual results to differ materially. For more information about these risks, please refer to the company's filings with the SEC. 111 does not undertake any obligation to update any forward-looking statements as a result of new information, future events or otherwise, except as required under applicable law. Please note that, all numbers are in RMB and all comparisons refer to year-over-year comparisons, unless otherwise stated. Please also refer to the earnings press release for detailed information of the comparative financial performance on a year-over-year basis. With that, I will turn the call over to 111's CEO Mr. Junling Liu. Please go ahead. 
Junling Liu: Good morning, and good evening, everyone, and thank you for joining our First Quarter 2024 Earnings Call. The information we'll be discussing here is also available in the slides posted earlier today on the company's website, and I encourage you to download the presentation, as well as the earnings report from our Investor Relations website at ir.111.com.cn. For the first quarter of 2024, we are thrilled to kick off the year with solid performance. Notably, we turned to quarterly operational profitability for the first time after years of dedicated effort towards long-term resilient growth with strategic operational requirements. In this call, I'll provide an overview of the macro environment, highlighting exciting opportunities ahead that will follow the financial highlights and updates on our ongoing technology empowerment as well as the supply-side efforts. Finally, I will delve into our future growth strategy before our Chief Financial Officer, Mr. Luke Chen presents a thorough analysis of our financial performance. Looking into the micro environment for our industry, the national anti-corruption campaign in the healthcare sector that began in late 2023 is continuing this year. Recent developments indicate a deepening of this campaign, with regulatory and ethics enforcement efforts targeting the entire industry chain. The industry anticipates that stricter scrutiny on ethical practices is becoming a longer process that will foster transparency and integrity in healthcare transactions, particularly in hospital procurement, which will ultimately promote healthy industry competition and development. As a result, more drug sales are expected to transition to retail pharmacies that are more accessible and transparent compared to the hospital system. This transition is encouraged by the state, and is poised to benefit us as we specialize in the outside hospital pharmaceutical market, where we expect huge potential and prospects. Considering current economic and capital market conditions, entry barriers for new startups in this growing industry are formidable, especially when we add in the healthcare industry's high regulatory standards and requirements. We are, however, strategically positioned to adopt a market-oriented approach for the outside hospital pharmaceutical market. We aim to empower the entire industry chain through a business model that emphasizes superior operational efficiency and customer satisfaction. Our goal is to capture greater market share in this thriving sector by offering a comprehensive, cost-efficient product range with unparalleled focus on customer experience. To achieve this, we've introduced various mechanisms, including enabling first-party teams to deepen relationships with pharmaceutical companies and incentivizing merchants to offer competitive price products on our digital platform. Combined with advanced technology, these mechanisms drive robust traffic, operational efficiency and high sales volumes. By utilizing leading edge technology, rich data insights and innovative service models, we're strengthening 111's value proposition to both upstream and downstream customers. Also of note is the digital transformation over the entire value chain in the healthcare industry. As we are in a leadership position in this digital revolution, we are committed to reshaping the healthcare industry's value chain through our fully digitized operating system. By empowering the upstream and downstream segments with highly efficient digital solutions, we're driving continuous operating cost reductions, our high-quality digital technology facilities, effective sales, procurement and operations management, including customer demand analysis, product inventory management and warehouse allocation. In the first quarter, we continued to generate positive strides in digitalization, which I'll discuss further later on. Excitingly, our company achieved a qualitative change and operational efficiency after years of development. In the first quarter, we realized income from operations for the first time, validating the efficacy of our growth strategies and business model. Our income from operations reached RMB 3.7 million during the period, compared with a loss from operations of RMB 21.7 million a year ago. Non-GAAP income from operations even more than tripled to a record high of RMB 8.9 million. The achievements are particularly significant, considering a slight 4.6% year-over-year decrease in the first quarter revenue. This fall was attributed to a higher baseline set in the first quarter of 2023 during the peak of the pandemic, which led to increased market demand for health-related products and medications. However, the market has since stabilized and normalized. The profitability largely stems from ongoing improvements in operational efficiency, driven by continuous enhancements across pretty much all business functions. Our total operating expenses for the first quarter accounted for 5.8% of net revenue, down 120 basis points from the previous year. Specifically, we've achieved noteworthy reductions in various expense categories. We've managed to cut fulfillment expenses to 2.5% of net revenues this quarter, down from 2.8% in the same quarter last year, reflecting a decrease in fulfillment costs by 13.8%. Our general and administrative expenses have fallen to 0.5% of net revenues from 1.1% a year ago. Technology expenses were 0.5% of net revenues as well, down from 0.7% a year earlier. Selling expenses have slipped as a percentage of net revenues to 2.3% in this quarter from 2.4% in the previous year. Excluding share-based compensation, our operating expenses as a percentage of net revenues have decreased 60 basis points to 5.7%. Additionally, our operating cash flow also turned positive. Our operational efficiency was achieved through strategic investments in infrastructure and staffing, as we continue focusing on key areas for long term and sustainable growth. The digital capability we have built over the years is at a very sophisticated level to deliver value and quality performance to end customers, allowing us to reduce technology and staffing expenses. Our ambition has always been to become the most efficient healthcare e-commerce operator in the industry. With our relatively small scale and current revenue level, we have already demonstrated our exceptionally high operational efficiency, which even surpasses that of large traditional players. This makes us very proud, and we will continue this effort towards setting an industry benchmark for efficiency as our goal while sustaining profitability. When we grow in scale and refine our operations, operating costs are likely to further grow, contributing to higher efficiency. Our effort in this area will be relentless, as we firmly believe this is going to be our competitive advantage and we are not afraid of any competition. Next, let's delve into operational accomplishments over the quarter, which was marked by continuous progress in technology empowerment. These advancements not only bolster our operational efficiency, but also pave the way for enhanced returns in the future, a testament of our commitment to innovation and excellence. We're seeing the initial benefit of transitioning from a product intermediary to becoming a tech-powered healthcare platform. Through the digitization of various business models such as the JBP and marketplace, coupled with the introduction of joint venture and franchise warehouses as well as a self-built logistics network to connect upstream and downstream customers, we have propelled 111 into a new platform that's widely recognized by both upstream and downstream partners. The shift has effectively ramped up cash flow, slashed inventory turnover and enriched partnerships. This has fostered a synergistic ecosystem with shared knowledge, resources and capabilities that drive improved growth and success. Our AI improvement initiatives have already yielded positive results in our operations. By utilizing AI large language models and advanced algorithms to optimize low-price strategies and traffic allocation mechanisms, our order conversion rate saw encouraging improvements. These results highlight the success of our technology team's efforts in AI application development. One major challenge we faced was data cleaning due to the lack of common standards in the industry and the multiple names a single drug can have across different companies and regions. AI proved to be invaluable in automating this labor-intensive task, enabling us to contribute industry data to the Shanghai Data Exchange. We're also impressed by the impact of 111 Health, our AI powered tool developed by our tech team. It effectively addresses both internal and external customer issues, reducing the need for additional staff and cutting expenses. Although it is still early days, we anticipate further AI applications will continue to streamline our operations and drive innovation. Additionally, we continued digital empowerment for merchants with the launch of merchant side mobile tools. These tools provide digital features such as merchant mobile reports, business compasses and sales management, enabling our partners to access real-time business performance anytime, anywhere. We already saw a daily average usage rate of over 70% for these innovative features, which is very encouraging for further innovations. Furthermore, we can also use our intelligence system to match the most optimal carriers, which cuts costs and enhances delivery efficiency. For every single order, before it goes out for delivery, our system can make real-time decisions on which carrier to use based on logistics info collected, as well as volume and date. Every single order is selected by the system and assigned to a carrier, with the order automatically allocated to the most suitable warehouse for delivery. Diving deeper into our supply-side efforts, we empower our assortment team through our broadband intelligent data platform by analyzing the best-selling categories and products. With big data and sales forecasting algorithms, combined with online and offline transaction data and industry data, as of Q1 2024, the broadband catalog included a total of [ 6,567 ] new products, contributing to approximately RMB 460 million GMV cumulatively, while reducing the group's top product out of stock rate to 2.8% from 5.2%. Moreover, in a move to optimize operations and add value to the supply side, we launched a new delivery and transit model to streamline logistics not only for us but also for merchants. We've established the Kunpeng Pharmaceutical Logistics Network to provide professional logistics service. Our Kunpeng project optimizes internal cost reduction, with 20% lower distribution costs compared to traditional logistics. Secondly, it empowers the external supply chain. Previously, each merchant had to send their product samples to various warehouses individually. Now, they can consolidate their shipment to one warehouse first, and then our system will intelligently distribute them to the respective locations. This makes a major improvement in efficiency, as well as provides a service to merchants, which we can charge for separately. Merchants using this service can save costs, and their damage rates resulting from transportation can fall as much as 60%. With the support of the Kunpeng project, strengthened the business negotiations and our intelligent selection of the most optimal carriers, logistics expenses dropped. This together with lower delivery costs, less warehouse labor costs and generated from enhanced work efficiency and decreased warehousing expenses, primarily led to a 14% year-over-year reduction in fulfillment costs to RMB 89 million in the first quarter. Meanwhile, the company has innovated its supply chain model by unveiling joint venture warehouses. The new model is poised to revolutionize our expansion strategy, slashing investment timelines and capital expenditures while accelerating nationwide coverage. Previously, we invested in and built our own warehouses, which may take at least 2 years to see profitable operations. The new model allows us to partner with strategic warehouse owners to achieve growth and reduce intensive CapEx expenditure by leveraging partners' existing assets and our proprietary digital system. We've also garnered significant accolades and a new patent, all demonstrating valued recognition from government agencies and professional institutions for our business practices, operational performance and dedicated innovations. This affirm our pioneering role in digital commerce transformation. Notably, we were honored as 2023 Shanghai Industrial Internet Demonstration Platform by the Shanghai Municipal Commission of the Economy and Informatization, solidifying our position as a digital service platform for the pharmaceutical industry chain. This recognition elevates our commitment to digitization, enhancing service capabilities and driving technological innovation. We earned the prestigious title of 2023 to 2024 Shanghai E-commerce Demonstration Enterprise from the Shanghai Municipal Commission of Commerce, showcasing our pivotal role in advancing high-quality e-commerce in the city. In April, we secured a new patent for our voice service enhancement system, expanding our technology portfolio to 24 patents. This reaffirms our ongoing commitment to innovation, enabling more intelligent responses to customer inquiries and maintaining our technological leadership in the industry. Next, I'm going to discuss our strategies for future growth, revenue, margin and profit. We remain committed to delivering efficient, cost effective, one-stop shopping experiences that meet customer needs and secure our competitive edge. Utilizing data analytics and market research, we can anticipate customer preferences, ensuring our offerings align with demand, while prioritizing low pricing through advanced digital capabilities. This commitment ensures exceptional value without compromising quality, fostering long-term loyalty and recognition from customers. Another core strategy is to deepen our partnerships with pharmaceutical companies. By closely collaborating with these partners, we aim to better serve the needs of our customers with a diversified medicine portfolio and drive mutual growth. We've made significant strides in this area and we'll continue to do so, particularly by leveraging our digital marketing network to promote sales, especially in lower tier cities. Our extensive digital marketing network provides us with a powerful platform to showcase the product of our pharmaceutical partners. Through targeted campaigns and promotions, we'll be able to increase brand visibility and drive sales in previously underserved markets. This benefits not only our partners, but also enhances our position as a leading e-commerce platform in the pharmaceutical sector. Amid the evolving market situation, our private label business demonstrates impressive results. It's revenues surged 89% from the previous year in the first quarter, while gross profit rose 55% with a gross margin of 29%. This line of business, currently encompassing 3 distinct brands, enables us to offer a diversified product portfolio that significantly contributes to our gross margin. Additionally, it strengthens our brand equity and enhances customer trust. Moreover, we will accelerate our investment in the JBP platform, which has been attracting an increasing number of partners, which substantially increased our product range. The growth trajectory of this model is particularly exciting, as it indicates the growing value proposition of our innovative business model and its ability to draw interest from a diverse range of stakeholders. Looking ahead, our efforts for the JBP platform will include enhancing its features and functionalities to address the needs of our partners, as well as expanding its reach to a wider partner base. We believe that JBP will continue to be a key driver of our growth and the competitiveness in the years to come. In addition to driving top line growth, we're also focused on optimizing our operating costs to improve efficiency and profitability. We will step up our efforts to advance several initiatives implemented for achieving this goal. For example, we aim to onboard half of our merchant partners onto our new delivery and transit model, with the used upgraded warehouse network to enhance inventory management and fulfillment capabilities, thereby reducing lead times and improving customer satisfaction. Additionally, we are adopting AI sales representatives to automate and optimize the sales process, driving higher platform traffic and conversion rates while reducing operational costs. Operational efficiency is central to our strategy, and we will continue investing in advanced technologies to streamline processes, reduce waste, boost productivity and ultimately solidify our leading position in the marketplace. An important aspect of our technology investment is AI innovations and digitization. Many parts of our operations are embedded in AI, and we fully embrace digital transformation across our business to drive operational efficiency, customer engagement and product innovation, unlocking future growth opportunities. It is important to note that digitization is vital to our vision for the future. With 100% digital operating system internally, we have achieved industry-leading operational efficiency. This performance has not only enhanced our bottom line, but also positioned us as a catalyst for transformation across the entire value chain, granting both upstream and downstream customers access to our technological ecosystem and expertise. By doing so, we're not just improving our own processes, we are revolutionizing the way our industry operates and reshaping the traditional value chain. We are confident in our ability to remain at the forefront of this digitalization and how it will empower us in higher revenue and profit levels. With that, I'll hand the call to Mr. Luke Chen to walk through our financial results. Thank you. 
Yang Chen: Thank you, Junling, and good morning or evening, everyone. Moving to the financials. My prepared remarks will focus on a few key business and financial highlights. For details on our first quarter 2024 results, please refer to Slides 16 to 19 in Section 2 of our presentation. Again, our comparisons are year-over-year and all numbers are in RMB, unless otherwise stated. Let's start with the first quarter results. Considering the sudden sales surge during the pandemic in Q1 last year, we managed to maintain our net revenue base for the quarter, which decreased 4.6% to RMB 3.5 billion. Gross segment profit for the quarter amounted to RMB 208.5 million, while gross segment margin was 5.9% for the quarter. Total operating expenses for the quarter decreased 20.6% to RMB 204.8 million. As a percentage of net revenue, total operating expenses for the quarter were down to 5.8% from 7%, as we continue to enhance our operating leverage and optimize our operational efficiency. Fulfillment expenses as a percentage of net revenue for the quarter were down to 2.5% from 2.8% in the same quarter of last year. Selling and marketing expenses as a percentage of net revenue for the quarter was 2.3%, down from 2.4% in the same quarter of last year. General and administrative expenses as a percentage of net revenue accounted for 0.5% down from 1.1% in the same quarter of last year. Technology expenses accounted for 0.5% of net revenue, down from 0.7% in the same quarter of last year. As a result, income from operations was RMB 3.7 million compared to loss from operations of RMB 21.7 million in the same quarter of last year. Non-GAAP income from operations was RMB 8.9 million compared to RMB 2.5 million in the same quarter of last year. As a percentage of net revenues, non-GAAP income from operations accounted for 0.3% in the quarter as compared to 0.1% in the same quarter of last year. Non-GAAP net loss attributable to ordinary shareholders was RMB 8.6 million compared to RMB 7.6 million in the same quarter of last year. As a percentage of net revenues, non-GAAP net loss attributable to ordinary shareholders accounted for 0.2% in the quarter, which was same as last year. As you can see, we are improving our financial performance quarter-by-quarter and have achieved operating income on a quarterly basis for the first half. Please refer to Slides 20 to 24 of the appendix section for selected financial statements. A quick note, our cash position as of March 31, 2024, we had cash and cash equivalents, restricted cash and short-term investment of RMB 627.3 million, and we were pleased to report that we have achieved positive operating cash flow during the quarter. As of the date of this earnings release, the company had a total outstanding amount of RMB 1.1 billion, which has been included in the balance of redeemable non-controlling interests and accrued expenses and other liabilities, owed to a group of investors of 1 Pharmacy Technology pursuant to their equity investment made in 2020 as previously disclosed. As of the date of this earnings release, we have received redemption requests from certain of such investors for a total redemption amount of RMB 0.2 billion in accordance with the terms of their initial investments in 1 Pharmacy Technology. Furthermore, we have entered into written agreements and/or commitment letters with investors are representing the majority of the total carrying amount for the rescheduled redemption payment. This concludes our prepared remarks. Thank you. Operator, we are now ready to begin the Q&A session. 
Operator: [Operator Instructions] Your first question comes from [ Edwin Zhou ], Individual Investor. 
Unknown Attendee: This is Edwin Zhou. I would like to extend my congratulations on outstanding results achieved this quarter. The impressive performance is a clear testament to the collaborative efforts and strategic initiatives taken by the company. I have 2 questions. The first is that I have observed a significant double-digit sequential decrease in the SG&A expense and IT expense this quarter. What is the potential for further reduction in operating expenses? The second one is, has the company initiated any new attempts in IT technology such as AI-related projects? Could you elaborate on any critical application? 
Junling Liu: Yes. Let me just answer the first question with regards to the reduction in SG&A and the IT expenses. Obviously, we have been pursuing the goal to be the most efficient operator in our industry. So with the current resources in hand, we feel that we absolutely can continue to scale our business. When we grow in scale, let's say, when we cross the RMB 20 billion threshold, we're very confident we can operate between 45% range, which means a lot to our business. So this quarter, with RMB 3.5 billion in revenue, we are already operating at 5.7%. And obviously, mind you, we have a lot of potential to grow our gross margin over time as we gain upper hand in the market and, of course, our ability to deliver profit will stand out in the industry. So fundamentally, our competitive edge will depend on our operational efficiency and we're going to pursue this relentlessly. And we're confident that when we grow in scale and when we further refine and streamline our operations, we're confident that the overall operational efficiency will continue to improve. 
Yang Chen: Let me take the second question, Edwin. You ask about what advancement the company has made in technology and especially related to AI. Let me just mention a few. First of all, as you can see that, we made some initial success in transitioning to platform business. Our platform total GMV reached over 70%. And certainly, we have made several progress in several fronts since the launch of JBP. And we have speed up our warehousing development through joint venture and franchising warehouses. And also we established the Kunpeng logistics services to upstream and downstream partners. All these are -- all these need strong support from IT. And a lot of the new warehouses use our systems and we provide these services through SaaS. Second, we use the large language models through an algorithm to improve our traffic allocation as well as conversion. So, we have, through this process, also improved cross-selling. And you can see that our conversion rate has significantly improved. Also, we have launched various supply chain finance services. Certainly, we have lots of partners. The banks and financial institutions provide the services, but we have to do the optimal matching for our customers, how to match them to the best service and the best providers. And that's also done through our technology and our data service. And Junling just mentioned that we established, called Bo Guan data platform. Such a platform uses not only our internal data, online data, but also offline data to our customers and the industry data. And through this process, we have introduced this data help us to introduce over 6,000 new products. And these products gave us much higher margin rate and the sales rate. So, let me just mention this view that's enabled through IT and AI technology. 
Unknown Attendee: I'm looking forward to witness continued success and even greater achievements in next quarter. 
Operator: The next question is from [ Victor Yang ], Individual Investor. 
Unknown Attendee: This is Victor Yang. I'm an Individual Investor. First of all, congratulations to Gang, Junling, Luke and the whole staff of 111 on the impressive performance. I have 2 questions. First is in achieving operating profitability and net profits this quarter. Can you give more details on the strategic initiatives and operational changes that lead to this milestone? And what are you expecting for the rest of the year? Will you at last keep this pace of being profitable? This is the first question. And the second question is about the supply chain cost. We have noticed a significant reduction in costs in 111 supply chain. Can you explain what measures and actions the company has taken to achieve this result? 
Junling Liu: Yes. So when it comes to achieving profitability as an Internet company, it is a real major milestone. Companies in this space have to spend lots of capital and resources to build up their infrastructure and systems. Our strategy has always been clear. Our first step is to build infrastructure and secondly, we have to build scale. And thirdly, we're going to achieve profitability. So that in our previous years, ECU scripts and earnings calls, we have elaborated on that strategy and we actually delivered. So the fundamental driver to achieve the profitability comes from really operational efficiency by leveraging our digital technology. Of course, our goal is to be the most efficient operator in our industry and we are well on our way. When it comes to the future, we feel very confident to sustain our profitability. With the foundation I built, the trend of drug sales outside of the hospital space and the focus on value delivering to our customers, we feel very excited by the opportunities lying ahead of us. 
Unknown Attendee: Okay. That looks very promising. 
Yang Chen: Let me take the question on supply chain. You can see that last quarter, even last couple of years, supply chain efficiency improvement has been a highlight at the very core of our business. We are very proud of it. As you know, that supply chain contains many components, including the sourcing, the warehousing, the storage, the warehouse operations, the packaging, the delivery, handling downstream returns, also our own RTVs. So, all these are very important parts of the supply chain. So, we have made progress in all these aspects. First of all, Junling mentioned about sourcing. We go more and more direct to source from the pharmaceutical companies. And then about warehousing, not only we, through process improvement, not only improve our own warehouse costs, but also through joint venture and franchising warehouse, we speed up our Class B expansion. Also, we had new negotiations that reduces our rental costs as well as packaging cost. Regarding the delivery cost, we have made several improvements. One is that we have a system that chooses the best optimal assignment of the delivery of each package to the best logistics service providers. Also, we established the so-called Kunpeng logistics service. So, this service started by serving our internal needs by trans shipping goods from all our fulfillment centers, as you know that we have a total of 11 FCs, fulfillment centers, which is already a large -- very large volume. And we stretched all those routes that not only reduced our internal transshipment cost by 20%, but drastically reduced the damage cost. That damage cost reduced by 60%. So, then we extended that service to our partners, all the JBP partners and all the pharmaceutical companies. We enable them to just ship from one fulfillment center. We make all the distribution, and we start to expand that line because that line has truckload capacity as well as lower cost, much, much lower damage cost. So, that helps us in the delivery cost. Also, as you know, since our damage is reduced, that also help us in reducing the RTVs. So, all these together help us to reduce the total fulfillment cost by a very remarkable amount. We feel that we are becoming the most efficient operator in the industry. Thank you. 
Unknown Attendee: And I'm looking forward to seeing continuous growth and more success in the coming months. 
Operator: The next question is from [ James Bonsor ], Individual Investor. 
Unknown Attendee: This is James Bonsor, an Individual Investor. I would like to congratulate the company on achieving impressive results this quarter first. It's evident a lot of hard work and persistence has gone into this. And I have 2 questions as well, if I may. Firstly, you mentioned China's anti-corruption healthcare campaign is expected to boost the retail pharmaceutical market. How does the company plan to capitalize on this to increase market share? And what specific competitive strengths does the company possess in this growing industry? And then secondly, 111 is known for leveraging digitalization, both upstream and downstream in the healthcare sector. Are there any forthcoming plans or measures aimed at further enhancing online engagement for both in the upcoming quarters? 
Junling Liu: Yes. Thank you, James. I'm glad you noticed the anti-corruption campaign in the healthcare sector in China. Obviously, we absolutely want to grab this golden opportunity to grow our market share. And today, our scale is still relatively small compared to some of the well-established players, especially those traditional players. However, we have already built up our core competency, which is our operational efficiency. We don't have the resources and access to free capital or pretty much close to free like some of the state owned enterprises. What we rely on is really our ability to operate this business with the utmost efficiency. The competitive advantage will enable us to offer the widest selection at very competitive prices and over time customers will recognize this value and buy more and more from us. Hence, our market share and wallet share will grow. And I believe that our internal 100% digital operating system has proven its value when it comes to operational efficiency and we are in a position to really enable both their upstream and downstream customers. And as the nation is pushing digitization, this competitive advantage is going to really create momentum to our business. 
Yang Chen: Let me talk about the enabling business we have launched and what we are planning to do. Junling mentioned that we provide a lot of tools for our partners as we are moving towards a platform business. We launched a lot of mobile tools for merchants and they can, through these tools, they can see daily reports, they are in campus and manage their sales. They can see their product flow. They can see the profile of the customers and prices of their products sold and so on. All those important metrics can be seen and revised through the platform, and we are going to launch many more new digital tools for our partners. That's one. Second, I mentioned about Kunpeng Logistics Network. Right now, we have more than like 30 or so routes and we are definitely expanding those routes since we see the huge demand from our partners. We can also see a very remarkable cost reduction as well as damage reductions, and those are welcomed by our partners. So, we're definitely expanding those. We also go through very regular training and communication activities to improve the overall supply chain, responsiveness and efficiency. 
Unknown Attendee: I appreciate the extra color and good luck for future implementations. 
Operator: The next question is from [ Kieran Wong ], Private Investor. 
Unknown Attendee: This is Kieran Wong from Hong Kong. I'm an Individual Investor. Congratulations on the big progress in this quarter. I have 2 questions. First question, the private label business at the company has shown rapid growth. Do you envision this becoming one of the primary growth drivers in the coming years? And what strategies are in place to develop this business further throughout 2024? Second question is, have you made any strategic adjustments post-COVID to strengthen revenue streams? Are these adjustments expected to have an impact in the upcoming quarters? 
Yang Chen: Okay. I will take the question regarding private label, and I think Junling will take the second question. And for private label, we already have a couple of private label registered. We have [ 1 Drug ] meaning care that is for our transport customers. And also we have another brand called Huangjia yongyou zhe. Direct translation will be royal owner. This is for our individual store customer. And also we have [indiscernible], that is for battery supplement and also some others like for medical device, et cetera. As Junling just mentioned, in last quarter, our private label products kept very strong momentum and grew 89%, close to 90% Y-o-Y. Most of these private label products have been very well accepted by our pharmacy customers. And currently, I think they are now sold in various pharmacies across the country, including in very remote areas like in Xinjiang, in Xizhang, et cetera. There are more and more SKUs in our pipeline. Yes, we will keep our investment in this private label, including OTCs, including [ ICE ], medical device, battery supplements, et cetera. And why we put so much effort on this private label? I think, as you know, private label products have been a very key margin contributor and also revenue contribution of those top chain stores, which has been disclosed. You can find this detail in the financial reports. As our customers are one-on-one customers, those pharmacies, they are basically small media chain or even individual stores. They don't have such a capability to build up their own brand. Our Guangzhou, our Guangzhou Yihao has become a very attractive solution for these pharmacy customers because they also need those products to compete with those top chain stores. And to conclude, these private label products bring us sustainable profit, bring sustainable profit to 111. They also bring sustainable profit to our pharmacy customers. They are not only high margin for us, also high margin for our customers. And literally, they also help us build out a long-term relationship with those customers. Because if they want to buy those Guangzhou or Guangzhou Yihao, they can only come to 111. So, we will continue our investment in this area. Thank you. 
Junling Liu: Kieran, let me just take on the question about the adjustments post-COVID. Obviously, COVID-generated demand is not really sustainable. Our sales went through the roof during the peak of the pandemic, but we always assumed that the market will normalize fast. And as I spoke earlier, our mindset has always been to have the assortment that really needs customer needs. And I spoke about having Bo Guan as our guide for assortment management. So, Bo Guan is really the tool we use to constantly seek feedback from customers, what they really need. And our objective is to offer the widest selection at a competitive price, including the private label products. So, we should really anticipate that we will be adding more and more categories and there should be more and more revenue sources in the future. Thank you. 
Operator: The next question is from [ Nick Duan ] from [ Virtue Capital ]. 
Unknown Analyst: This is Nick from Virtue Capital. And I have two questions. My first one is about Hong Kong IPO. So the Chinese authority has been encouraging domestic companies to go public in Hong Kong. I'm wondering if the company has been considering a dual-listing in Hong Kong. And my second question is about our cash burn rate. Specifically, can you talk about our current cash status versus our redemption expectation? And what measures are we going to take to improve our cash status? 
Yang Chen: Yes. Nick, yes, We are actually open to all listing options, including domestic stock change and as well as the Hong Kong Stock Exchange. So, we will evaluate the options, which will be most suitable for the growth of the company as well as the benefits of our shareholders. Of course, secondary listing or primary listing in Hong Kong is an option into consideration. And we will make the appropriate disclosure regarding any listing initiatives according to SEC rules. Regarding your second question on the cash position and the cash position improvement, as we just disclosed, as of March end 2024, we have cash and cash equivalents and we see cash and short-term investment of RMB 600 million -- around RMB 630 million. And we have achieved positive cash -- operating cash flow for the quarter. Now, you have noticed that we are turning to profit from quarter this year and we are no longer burning cash. And we believe our cash at hand are sufficient to support our business expansion. Junling mentioned we are improving our operation efficiency. We want to be the most efficient operator in this industry. It's also related to our working capital management. We have very high working efficiency in working capital management. If you look at our accounts payable date around 45 days, our inventory turnover is around 25 days and our accounts receivable is around 10 days. That gives us positive cash flow. So, we will continue to monitor very closely our working capital, including the initiative to better utilization of supply chain finance, so that we will create actual cash at hand. In terms of redemption, we have also disclosed that we are in the process of negotiating with investors on the rearrangement of those redemptions. As a matter of fact, we have already entered into written agreements or commitment letters with investors to rearrange the redemption schedule, which is already representing the majority of the total recurring amount. Nick, hope I answered your 2 questions. 
Operator: The next question is from [ Jack Wang ] from Water Tower Research. 
Unknown Analyst: This is Jack with Water Tower Research. Congrats on the solid results. It's really interesting to see that 111 has innovated the joint venture warehouse model. So my first question is, how will this model support the company's growth? And are there plans to establish additional warehouses under this model in 2024? And my second question is that we see that your operational expenses are just below 6% of revenues. So, do you believe this figure is already the lowest within the industry? Or would there be opportunities to further enhance operational efficiency? Or is your goal just maintaining this level going forward? Any color you can share on that would be great. 
Yang Chen: Jack, regarding the joint venture of this warehouse -- I'll take this question. Yes. Besides our first-party managed warehouse, we set up warehouse local operations standard by a joint venture model with our -- in certain province with local partners. And this province is including like [ Guangzhou ], Yunan and Inner Mongolia, et cetera. So our JV partner, they are basically a local leader in pharmaceutical business. They have run this business 10 years or 20 years, even 30 years locally. And they have actual capacities in warehouse. And they already have their logistics network to cover local customer demand. And all these capabilities can help us better serve our customers. You can imagine if by using the traditional first-party model, if we want to set up those warehouses in those remote provinces, it will take very long time. So with help from our partner, we set up a JV warehousing model, which provide a local sourcing and also a faster delivery lead time and also a very low damaging -- and also damage rate has been reduced compared to a long distance shipment. So with the launch of this JV warehouse, we are seeing business growth in these remote provinces. And in 2024, we do have plans to expand this model. And actually, our Xinjiang joint venture is already in a setup process. 
Junling Liu: So, Jack, I've just realized we run out of time, so I'll make my answer fast. So 6% -- less than 6%, it is the best in the industry from our internal research and intelligence, I believe it is. And I also want you to keep some references like we are still relatively small compared to some of the established players. The biggest player in the industry has a revenue of RMB 700 billion. And last year we only did RMB 15 billion. And the value of one shipment from the traditional guys to the hospitals is probably a few hundred thousands at least. And our shipment, sometimes it runs as low as RMB 300. And to give you that comparison, to illustrate how efficient our operation is, as I said earlier, that we definitely still have room to continue to optimize, staying at the status quo is never in our culture. Thank you. 
Operator: Thank you. In closing, on behalf of the entire 111 management team, we'd like to thank you for your interest and participation in today's call. If you require any further information or have any interest in visiting 111 in Shanghai, China please let the company know. Thank you for joining our call today. This concludes the call.